Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to today’s Conference Call to discuss AMMO, Inc.’s Financial Results for the Second Fiscal Quarter of 2022. At this time all, participants are in a listen-only mode. Following the formal remarks, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up. Hosting today’s conference will be Reed Anderson with ICR. As a reminder, today’s conference is being recorded. And now I would like to turn the conference over to Mr. Anderson. Please go ahead, sir.
Reed Anderson: Thank you. Good afternoon and welcome to AMMO, Inc.’s conference call to discuss results for the second fiscal quarter of 2022. On the call today from AMMO, Inc. with prepared remarks are Fred Wagenhals, Chairman and Chief Executive Officer; Rob Goodmanson, President; and Rob Wiley, Chief Financial Officer. By now, everyone should have access to the earnings release, which went out this afternoon at approximately 4:05 p.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of AMMO, Inc.’s website at www.ammoinc.com. This call is being webcast and a replay will be available on the company’s website as well. Before we begin, we would like to remind everyone that our prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance and therefore undue reliance should not be placed upon them. These statements are based on current expectations of the company’s management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of AMMO Inc.’s most recently filed Forms 10-K and 10-Q. Please note that during today’s call, we will discuss non-GAAP financial measures, including results on an adjusted basis. Management believes these financial measures can facilitate a more complete analysis and greater transparency into AMMO Inc.’s ongoing results of operations, particularly when comparing underlying operating results from period-to-period. We have included a reconciliation of these non-GAAP measures with today’s release. This call also contains time-sensitive information that is accurate only as of the date of this live broadcast, November 15, 2021. AMMO Inc. assumes no obligation to update any forward-looking projections that maybe made in today’s release or call. Now, I will turn the call over to Fred Wagenhals, Chairman and Chief Executive Officer of AMMO Inc.
Fred Wagenhals: Thanks, Reed and good afternoon to everyone. Thank you for joining us today. I would like to extend my personal appreciation to all of our great employees, customers and shareholders for continuing to support our company during these exciting times. I am pleased with our Q2 results, another quarter in which we have delivered significant growth in revenue and improve profitability. Based on the strong Q2 results and continued momentum across our entire business, we are again raising our outlook, increasing our fiscal 2022 revenue forecast to $250 million from $210 million previously and increasing our forecast for adjusted EBITDA to $80 million from $70 million previously. I would like to bring you up to date and answer most of the questions that I get hit daily with from investors. The move-in date for our new state-of-the-art 165,000 square foot building in Manitowoc, Wisconsin, is the summer of 2022. Todd Wagenhals, our Executive VP has assured me that it will be on time and under budget. We have pictures on our website for any one of you to view on a weekly basis. Jim Mann, our VP of Operations has done a remarkable job in integrating our patient loading operation, which closed down in April into Manitowoc’s brass facility. I am also amazed that the new automation equipment that Jim and his team have begun to put in place to eliminate future cost. Mark Hanish, our President of Global Marketing and John Flynn, Vice President, have been working due diligently on our new product development and government contracts. At the present time, we have 2 DoD contracts in place. Rob Wiley, our CFO and Susan Lokey, CFO of GunBroker.com and their team have worked around the clock to bring our accounting team up to par with the growth of our company. We are fortunate to have our new accounting firm PKF in place. Matt Nicholson, our Vice President of Sales and Anthony Tate, our Director of National Accounts have done a tremendous job over the past 16 months, putting together an outstanding call center, with current backorders of around $185 million. Those numbers change daily. This includes working with dealers, distributors, and big box retailers. Also, Matt, Anthony and Nate Acord, Head of Purchasing have found primers and gunpowder throughout the world to keep our factories running. We also have signed a 5-year contract with Vista/Federal to supply them brass casings and they will supply us with primers. GunBroker.com, the acquisition allowed AMMO, Inc. to have a dominant marketplace platform in the industry. Steve Urvan is on our board and is also very active in future growth of GunBroker.com. Steve [indiscernible], President of GunBroker.com has put together a team with Beth Cross, Director of Purchasing, Matt Nicholson and Anthony Tate. Beth is leading that team and securing additional ammo and other items to put on GunBroker.com. At this time, we have signed up to 50,000 new users per month. We believe with the credit card program, the letter of credit programs and the new loyalty programs we are putting in place as well as looking into Bitcoin programs, we believe these monthly numbers will increase dramatically. Rob Goodmanson, President, Board Member. Rob has brought to us and to me to help me run this company on a day-to-day basis. And because of his financial and Wall Street background, to help line up banking for future growth of this company and look at any acquisitions that might fit our wheelhouse, any future acquisitions must be accretive and fit our wheelhouse before we even take a look at them. With that, I am going to turn the call over to our President, Rob Goodmanson.
Rob Goodmanson: Thanks, Fred and welcome, everyone. It’s a pleasure to speak with you today. We are proud of the incredible team that Fred has put together and grateful for all the hard work everyone has put forth to create an outstanding quarter and all the success we expect moving forward. Total revenues rose 408% to over $61 million inclusive of our first full quarter from our marketplace segment, GunBroker.com. Our gross margins of 43% for the quarter were up significantly from the 10.7% we reported in the second quarter of 2020, reflecting the scale efficiencies in our manufacturing operations as well as the growing mix of high margin marketplace revenue. Demand in the U.S. domestic markets and international ammunition markets remains robust and shows no sign of slowing down. As we have said before, when Fred had the idea of AMMO, it was not just an ammunition company. It was to take an industry that’s extremely antiquated and bring technology and patented ideas to the forefront. Our results today illustrate the significant progress toward that vision. Our acquisition of GunBroker.com has been transformative to say the least. Last quarter, we updated you on the success of the early integration efforts. And I wanted to share additional details to provide a deeper understanding of the powerful dynamics of this business. During the 5 months of operation since we purchased GunBroker.com, auction revenue has increased approximately 20% on a year-over-year basis, reflecting several factors, including mid single-digit increase in the average revenue per item sold as well as an upper single-digit increase on the number of items sold. Also helping to drive strong top line growth in our marketplace was an 83% increase in the loyalty program revenue as well as the growth in fees from relisting. In the second quarter, the marketplace revenue accounted for 28% of our company’s revenue and 63% of the operating income. As you can clearly see, we are no longer simply a manufacturing company. Our marketplace enables much deeper connections directly with the end consumer. And as we continue evolving this leveragable platform, we will continue improving our profitability as well as drive strong revenue growth. Lastly, I want to touch on some of the additional government contracts we announced in late September, an award by the Irregular Warfare Technical Support Directorate formed and operated under the U.S. Department of Defense for military operations. This ammunition was developed to provide warfighters with the ability to see the impact of the rounds fired from their weapon system on a wider variety of targets, both day and night. The SoT Ammunition allows a machine gunner to see the bullet’s impact without a visible signature in flight exposing their firing position in a matter, which occurs with the currently utilized tracer ammunition. This advanced capability will increase the survivability by reducing the firing position, identification and increase the lethality by supporting the shooters’ ability to place more rounds on target. Before turning the call over to Rob Wiley, I want to add that we are very proud of our accomplishments in the second quarter and remain well-positioned for significant growth in the future. Our unique proprietary ammunition business continues benefiting from the strong industry demand, coupled with our efforts to aggressively expand capacity. Our marketplace business remains a transformational factor that is still in the very early innings, amplifying revenue growth and dramatically reshaping our profitability profile. With that, I would like to turn it over to our CFO, Rob Wiley. Rob?
Rob Wiley: Thank you, Rob. Welcome everyone. Let me walk you through our second quarter financials in more detail. Total net revenues for the second quarter of fiscal 2022 were $61 million, up 408% from the $12 million we reported in the year earlier period. Growth in ammunition was the largest factor contributing to the year-over-year increase. For the quarter, ammunition sales were $40.2 million compared to $8.7 million in last year’s second quarter, an increase of 360%. Our marketplace segment had revenues of $16.8 million versus nothing a year earlier, reflecting the acquisition of GunBroker at the end of April 2021. Gross profit of $26.2 million in the second quarter compared to $1.3 million in the year earlier period, reflecting significant growth in revenue. For the quarter, gross profit margin rose to 43% from 10.7% in last year’s second quarter as we benefited from scale-related efficiencies and manufacturing as well as the addition of high margin revenue from our marketplace segment. Second quarter operating expenses totaled $12 million, up from $3 million a year ago. Majority of the increase in operating expenses were related to the addition of GunBroker.com, including $5.5 million of incremental non-cash depreciation and amortization. As a percentage of net sales, operating expenses declined to 19.7% in the second quarter of fiscal ‘22 from 25% in the year earlier period, reflecting the mix and shift in favor of higher margin marketplace revenues plus operating efficiencies related to our entry scale. Operating income was $14.2 million in the second quarter compared to an operating loss of $1.7 million in the year earlier period. As a percent of net revenues, operating income was 23.3% compared to a negative 14.2% a year earlier. Net income available to common shareholders for the second quarter of fiscal 2022 was $13.3 million or $0.11 per diluted share compared to a net loss of $2.3 million or $0.05 per diluted share in the second quarter of fiscal 2021. Adjusted net income per diluted share was $0.17 versus an adjusted net income per share loss of $0.01 and the year prior quarter. Adjusted EBITDA was $24 million compared to adjusted EBITDA of $0.4 million in the year earlier period. The significant improvement in adjusted EBITDA was due to increased sales and improved margins reflecting growth in our core ammunition segment plus the addition of our higher margin marketplace segment. Please note that adjusted EBITDA is a non-GAAP measure and you should refer to the reconciliation of our GAAP to non-GAAP results in today’s press release for additional details. Our balance sheet remains strong, with $33 million of cash and cash equivalents and essentially no outstanding debt. Order backlog at the end of September exceeded $185 million. Now, let me provide an update on our guidance. Given the continued strength of demand across our businesses expanding capacity, we are again increasing our full year fiscal ‘22 revenue guidance to $250 million from the prior forecast of $210 million. Similarly, we are also increasing our full year adjusted EBITDA forecast to $80 million for fiscal ‘22 from the prior year guidance of $70 million. This concludes our prepared remarks. We are now ready to take questions. So I will pass it back to our moderator. Thank you.
Operator: Thank you. [Operator Instructions] Our first question is from Matt Koranda with ROTH Capital. Please proceed.
Matt Koranda: Hey, guys. Good afternoon. Thanks for taking the questions. Just wanted to talk about the updated outlook, so the $250 million in revenue for the full year, maybe if you could just provide a breakdown between the core AMMO Inc. revenue and the GunBroker marketplace business in terms of revenue split? And then just how should we think about the revenue split between the remaining quarters in the second half of your fiscal year? And I got a couple of follow-ups as well.
Rob Wiley: Hey, Matt. This is Rob Wiley. Thank you for the question. So, we are maintaining a steady guidance on the GunBroker portion of the revenue. Any increase from the – our revenue increase in guidance will be increased from our ammunition production and ammunition demand as well as sales through the GunBroker platform as well. We are not giving a quarter by quarter update on our guidance. We are sticking to an annual guidance update for the moment, but we will be sure to update our shareholders if we decide to give quarterly guidance updates.
Matt Koranda: Okay. Yes, it’s just hard to determine seasonality, I guess and the business hasn’t been growing so fast for the last couple of years. So any – just any directionality on seasonality, I mean, should we expect Q4 to be a little bit larger than Q3? It seems to stand a reason just given you guys are still ramping production. Is that a fair assumption?
Rob Wiley: Yes. I do think that’s a fair assumption that you will consider, continue to see quarter-over-quarter growth heading into the end of our year.
Matt Koranda: Okay, makes sense. And then just the split in EBITDA would be helpful as well. So, the $80 million, how that breaks out, I would assume kind of 65:35 in terms of percentage split between the two just kind of mirroring what you guys had in the second quarter, but any additional color on sort of how you see that breaking down would be helpful?
Rob Wiley: No, I think you are right on line there, Matt. We view our – the guidance we have given on EBITDA is conservative, but we are confident on our ability to main margins heading into the end of the year.
Matt Koranda: Okay, fair enough. And then I am wondering if you could help us just bridge backlog, I guess there is a lot of different moving pieces here. But I think you guys had called out north of $185 million in the backlog. And I think if I am not mistaken last quarter, you called out something like $238 million at the end of the first quarter. So just wondering if maybe you could talk about sort of deliveries or flow during the period, any cancellations are just changes and the way we should be thinking about how you are characterizing backlog?
Fred Wagenhals: Yes, this is Fred Wagenhals. Our backlog changes daily, because we are increasing production and we are getting as some days as many orders in as we are shipping and some days more. So, I have seen it be $200 million and then I see it go down to $185 million. So, it’s just a constant change everyday.
Matt Koranda: Okay, got it. I’ll take the rest of those off line. And then as we think about the…
Fred Wagenhals: Matt, one of the part of your question, we haven’t had one major customer cancel any orders.
Matt Koranda: Got it. Okay.
Fred Wagenhals: Anything, they have increased orders.
Matt Koranda: Okay. Okay, fair enough. And then just a couple more for me. Curious if you could maybe just provide an update on loaded ammo production capacity and where we are in the ramp? I guess maybe just Fred if you could just characterize you’ve helped in terms of per day production numbers before, but where are we in that ramp up in the third quarter here currently, where do you think we end up the year in terms of loaded ammo production versus capacity? And then how well are you guys covered on primers? I mean, it sounds like with the Vista contract and going for a number of years, you should be reasonably covered on loaded ammo rounds, but just wanted to get your thoughts on sort of how we should think about the pain points in the supply chain?
Fred Wagenhals: We don’t have a problem with primers. I mean, we hear that all the time. And it’s a constant war everyday, but we don’t have a problem getting primers.
Rob Goodmanson: And Matt, on your – on some of your other questions regarding the capacity build out, every – we are increasing capacity daily, whether it be through the automation that we are putting in, the machines that we have added, it is going, I can’t give you – I just give you a rough number and say it’s approximately $450 million currently, but something you need to keep in mind is at the new building, when we start, which should be, say mid-summer we will be producing out of that building. That building will produce over billion rounds a year.
Matt Koranda: Got it. Very helpful. Thanks, Rob. And then I guess just one more housekeeping one, maybe for Rob Wiley, just wondering if you could talk about the working capital dynamics, maybe within the second quarter and then how you see it playing out for the remainder of the year, it looked like use some cash to build inventory, a little bit of AR on the balance sheet as well. Maybe you could just talk about sort of do we flush some of the inventory for the remainder of the year and tighten collections and so we get a pretty decent flush for the second half in working capital. Just trying to get directionality in terms of how to think about cash flow for the remainder of the year?
Rob Wiley: Yes. The company is working to put in place a line of credit that would be secured against current assets like accounts receivable and inventory, for example that would free up cash flow for us to continue invest in the production of our company or any other revenue producing assets that we may think of about acquiring in the future.
Matt Koranda: Okay, got it. I will take the rest offline here guys. Appreciate it. Thank you.
Operator: Our next question is from Mark Smith with Lake Street Capital Markets. Please proceed.
Mark Smith: Hi, guys. First, I wanted to ask about raw material cost, especially as we look at brass and just your ability to pass through pricing?
Rob Wiley: Yes. Thanks Mark for the question. We have experienced some raw material price increases that raw materials is what makes up a majority of the – our inventory today as we basically are shipping the product as soon as it comes off the line. We are passing those increases that we are experiencing on to our customers.
Fred Wagenhals: As you know, Mark, we are never been a price leader. We are definitely a follower. Winchester just raised about 7% to 16%, Federal usually leads the way, but we will follow in step with them. So, it is being passed.
Mark Smith: Okay. And that kind of hit some of my next question is, as we look at the ammunition business, if you can break out kind of, prices versus kind of volume in the growth, how much of this revenue growth really came through additional capacity versus passing through some of these higher prices?
Fred Wagenhals: Yes. Thanks Mark. Really, the increases we are seeing are related to volume. And that’s really to achieve scale through our production efficiencies. There have been price increases, but really, we feel that the increase in our financial operation have been through our volume efficiencies.
Mark Smith: Okay. And how much is this, Fred? I think it was Fred talked a little bit about this new equipment, how is this helping you? And then future plans, as we look at the next nine months or so until we move into the new facility, how much additional capacity is there for new equipment and machinery in your existing facility to kind of expand more production?
Fred Wagenhals: Well, the first thing we looked at was automating our packaging area, which had approximately 35 to 40 people, putting ammunition in boxes. We have automated a portion of that now, on one SKU, and we are now doing all of our SKUs. So, we should have that all finalized within the next three months. And we are also automating our Street line, as we speak. And as I mentioned before, we have a kneeling oven that’s never been put in place that we have had set in a warehouse for probably 1.5 years now. And that saves us approximately a penny plus a bullet, depending on the round. And that will go into effect in our new building. So, we are looking on automation. And how we streamline it and make the most – it will be the most automated AMMO building or plants in the country when we get done with it.
Rob Goodmanson: Yes. Mark, I would just like to add a little bit from Fred. We have three separate facilities currently in Manitowoc. And I think you have been up there. There is really not a lot of room to add anything in our current facility. But we have added equipment, and it is in another facility on Wollmer Street, that’s where streak is now, that’s where the pack order is now. We still need obviously, more space. And the building is designed to hold everything we have got plus significant add-ons that we have planned for that new building.
Mark Smith: And the last question for me is, and we are looking at a little bit further here. But as we look at the transition into the new facility, did – what did you learn when you moved operations from Payson up to Manitowoc? And are there any labor concerns that you have? Are you able to get enough people to kind of staff this new facility?
Fred Wagenhals: I think our HR department has done a great job in finding people. Every question I have always gotten from analysts or brokers they have always said what’s your biggest problem and it’s always people, getting people just to come to work. But she has done a remarkable job. And I think with this new factory, the way its set up and the way it’s streamlined, it will solve our people problem.
Rob Goodmanson: On the move itself and the resetting up of the equipment will take weeks. I mean that’s it. It’s all laid out. It’s all planned out what goes where, everything will be done, it will be pretty much plug and play. Moving from Payson to Manitowoc, obviously had number of days just in truck. Some of those machines had to be broken down, rebuilt, put back up. That would have taken – it did take much longer than the new move into the new facility, which is literally just across the street.
Mark Smith: Perfect. Thank you, guys.
Fred Wagenhals: Thanks Mark.
Operator: Our next question is from Michael Dwyer with Raymond James. Please proceed.
Michael Dwyer: Hi, guys. Thanks for taking my call this afternoon. Given the movement around environmental, socially conscientious investing, are you guys looking at any biodegradable or environmentally friendly products? Several of the ammunition trade magazines that are out there have been writing about this concept recently. I was wondering if you had anything in your skunk works that you might want to share with us?
Fred Wagenhals: Yes, we have a contract with a company out of Spain for biodegradable shotgun shells. And it just so happened that they are here today. And we have spent all morning with them on probably, because of freight costs we are going to have to build that ammo here in the United States in our new facility. And we will be putting together a deal with them to assemble that product here in the U.S. And they have 30 some patents on their product worldwide. Going out to supper with them tonight, so I think it was a very exciting day for us.
Michael Dwyer: Thank you. It looks like your marketplace is gradually adding SKUs to the offering, can you give us some color around what you think next quarter, next year would look like in terms of total SKUs offered on your marketplace?
Rob Goodmanson: Hi Mike, this is Rob. I don’t have a set number. It’s got 165 SKUs in just the ammunition. I think we would be pretty safe to move up into the low-200 in the near-term on SKUs. And I believe we will be adding to that consequently. It took us a short time to make the acquisition and build the team. And we are currently now just putting products through there that tied with the loyalty programs, the credit cards, lines of credit, that type of thing. And looking at Bitcoin, there seems to be a very high correlation between gun owners and alternative currencies. So, there are many, many different programs out there that need to be studied. We are taking a closer look at that as well.
Michael Dwyer: Thanks, Rob. No more for me. Thanks, great quarter.
Operator: Our next question is from Brandon Beylo with Macro Ops. Please proceed.
Brandon Beylo: Hey, guys, great quarter. Again, just a couple of quick questions on capital allocation. Looking out 3 years to 5 years, you are starting to see a lot of cash flow come through net income positive? How are you guys deciding where that cash gets allocated? Now that you have got these manufacturing facilities that you are ramping up, and you have also got this online marketplace? What are the internal discussions? And then how did those dollars end up getting allocated? And it’s all set and done.
Fred Wagenhals: I think there are a number of different allocation scenarios. One would be adding product definitely into the GunBroker site. I wouldn’t be – I would not be telling the truth, if I didn’t say we were looking to be a little more vertically integrated. And with the additional space, I think you will probably see that happen in not too distant future. The prices, it’s all based on how accretive the transaction is. And we structure it as an earn-out. And there is a lot of different things that come into play. The rest assured that we are not going to do anything that doesn’t fit and doesn’t make sense and isn’t immediately effective for us.
Brandon Beylo: Got it. And then just another question about GunBroker, so it seems like some of the low-hanging fruit that you guys could really start to chip away that was just general customer service, which would seem to be lacking before you guys bought it. And it sounds like you guys were adding I think you said 55,000 new members a month, is that correct?
Fred Wagenhals: I think that number is closer to 50,000.
Brandon Beylo: Okay, I am sorry. Yes. So, 50,000 a month? What are the main drivers of those new people coming on board? And then what are some of the improvements you guys are making to that platform, that’s kind of manifesting in this growth?
Fred Wagenhals: Well, if we go back to when we were looking at GunBroker initially, and finding out where their faults were. Their biggest fault was in customer service. So, we have been spending a lot of time there. As you mentioned, we have been adding people doing significant training, doing some serious catch-up, and trying to make the whole process easier for the end user. So, used to be just through emails, now, there is actually talk live with people. They are doing miraculous job and catching up, let’s say, in the customer service arena. And I think that that’s what the people really is all about the end users, all about our customers, how they are treated. And that’s what keeps them coming back. And keep this business growing like it’s growing.
Brandon Beylo: Got it? And then just kind of one quick question. I know you had a target for the amount of AMMO product sales through the marketplace. I don’t know that specific number. I don’t know if there is like $5 million through the first year of just AMMO, AMMO, Inc., products in the marketplace. How are you guys on that goal? I know it’s super early. But have you seen some fairly strong success pushing through your own product, maybe it’s easier than you expected, or maybe it’s been harder than you expected?
Fred Wagenhals: It hasn’t been harder than expected. It takes a little while to create the pipeline to bring it in. I think some of the numbers we talked about previously, where I think we would like to see at least 15% of our production go straight to GunBroker. With the increased capacity, we won’t be affecting, we will actually still be growing our large big box stores and fulfilling their orders. But then the game, this does allow us to go direct to consumer, which the consumers like and that’s probably the lowest hanging fruit that’s out there and increasing production of the customer service and the new products. We hope to drive more and more people that are being driven there today to that.
Brandon Beylo: Got it. And then one final question. I think I have got a respond. But one final question. If we roll out GunBroker to kind of a full stop what you guys envision this thing to be if it really works? Is it something where most of your revenue, most of your sales will be direct-to-consumer and you are not relying on big box distributors and retailers, or do you still see these big box retailers like the Bass Pro and stuff like that play out – play a significant role in revenue generation over the long-term?
Fred Wagenhals: I think they will always play a significant role. I mean it’s really it’s not a question. In any business, there is always competitors, when, where you are going to buy your ammunition. As long as the price – the pricing is equitable, it’s not – it’s just another competitor, like Gander would be Bass Pro or Fleet Farm would be to somebody else to Rural King, and where you purchase it, but we do not plan on giving up or cutting back anything from our big box stores.
Brandon Beylo: Got it. And I will step away. Fred, enjoy supper tonight. You have earned a few extra glasses of red wine or whatever, whatever drink you fancy. Great quarter, guys.
Fred Wagenhals: Thank you.
Operator: Thank you. Ladies and gentlemen, there are no further questions at this time. I now would like to hand the call back to Fred Wagenhals for any closing remarks.
Fred Wagenhals: I just want to thank everybody for supporting us and look forward to the next quarter. And I think you are going to see some amazing things come out of this company over the next couple of quarters. Good day.
Operator: Thank you. This does conclude today’s conference. You may disconnect your lines at this time. Thank you very much for your participation and have a great day.